Operator: Ladies and gentlemen, thank you for standing by. Welcome to Camtek’s Fourth Quarter and Full Year 2013 Results Conference Call. All participants are present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded. You should have all received by now the Company’s press release. If you have not received it, please contact Camtek’s Investor Relations team at GK Investor Relations or view it in the news section of the Company’s website, www.camtek.co.ir. I’d now like to hand over the call to Mr. Ehud Helft of GK investor relations. Mr. Holf. Please go ahead.
Ehud Helft: Thank you, and good day to all of you. I would like to welcome all of you to Camtek’s fourth quarter and full year 2013 result conference call. And I would like also to thank Camtek’s management for hosting this call. With us on the line today are Mr. Rafi Amit, Camtek’s Active Chairman and incoming CEO; Mr. Roy Porat Camtek’s outgoing CEO; and Mr. Moshe Eisenberg, Camtek’s CFO. Rafi will provide an overview of Camtek’s strategy going forward, Moshe will discuss some of the recent development and summarize the finance results in the fourth quarter. We’ll then open the call to take your questions. Before we begin I’d like to remind our listeners that certain information provided on this call are internal company estimates unless otherwise specified. This call also may contain forward-looking statements. These statements are only predictions and may change as time passes. Statement on this call are made as of today and the Company undertakes no obligation to update any of the forward-looking statements contained whether as a result of new information, future events, changes in expectations or otherwise. Investors are reminded that actual events or results may differ materially from those projected including as a result of changing industry and market trends, reduced demand for services and products, timely development of new services and products and their adoption by the market, increased competition in the industry and price reductions, as well as other risk factors identified in the Company’s filing with the SEC. Please note that the Safe Harbor statement in today’s press release also covers the content of this conference call. In addition, during this call certain non-GAAP financial measures will be discussed. These are used by management to make strategic decisions, forecast future results, and evaluate the Company’s current performance. Management believes that the presentation of non-GAAP financial measures is useful to investor understanding and assessment of the Company’s ongoing core operation and prospect for the future. A full reconciliation of non-GAAP to GAAP financial measures is included in today’s earnings release. I would like now to hand over the call to Rafi Amit, Camtek’s Active Chairman and incoming CEO. Rafi, go ahead please.
Rafi Amit: Thank you, Ehud. Hello to everyone. And thank you for joining us. As you know in addition to my role as the active Chairman, I recently became incoming CEO of Camtek replacing Roy Porat. This position is not new for me. I am the founder of Camtek and was CEO before Roy until 2010 and Active Chairman of the Board while Roy was CEO. Before starting I’d like to take a moment to thank Roy for all his hard work over the years. Roy is the Camtek veteran and was instrumental in building up the company, providing a long-term vision and executing on it. He has done a tremendous job, in particular following through in our strategy to develop new growth engines such as our 3D Inkjet System. Before I move on, I would like to hand over to Roy for a few words. Go ahead, Roy.
Roy Porat: Thank you, Rafi. In past years we have invested a lot in R&D in order to generate strong growth engines for the Company for the years to come. I felt that me moved into 2014, it was the right time for me to hand over the leadership as Camtek moves into new era of realizing fruits of the investments of the past three years. I am proud of our accomplishments, and I believe the Company is well positioned with strong foundation for the future growth. I would like to end by expressing my deep appreciation and thanking my management team as well as Rafi and the Board for the strong support of my efforts over the years. Back to you, Rafi.
Rafi Amit: Thank you, Roy and we all wish you much success. In 2014, our strategy is to focus our efforts on where we have significant competitive advantages from both a technology standpoint and market position, given our existing large install base. In line with this strategy, we recently took the decision to cease R&D of the net generation of the Sela Xact system, which was our product for the Sela analysis and sample preparation market. We decided to redirect our resources to areas which allows to increase our existing addressable markets and market share, our scale and our operating efficiencies. Management attention is now fully focused on the two main markets, where we see the most potential. These are fair to semiconductor inspection and the metrology market with focus on the advanced packaging related applications, especially on wafer level inspection. Second, the PCB market, this includes our latency inspection solutions and our new 3D inkjet system. As the first company to offer such system to PCB market, we are very excited with this great potential. We intend to allocate enough resources and attention to ensure our success in this area. With this product Camtek will be shifting its position in the PCB market from an inspection only company to the heart of the PCB production process with brand new technology and recurring revenue model. Back to the semiconductor market, all indication point to 2014 being a strong year and we feel this is good time to invest in our growth in this market. In line with this strategy, we recently appointed [indiscernible] to head our semiconductor division. Rami brings strong international experience in the semiconductor industry at [indiscernible] among other. And I expect that with all his energy focused on this market, we will be able to take full advantages over the market opportunities ahead of us and grow the business in the meaningful way. We believe that we are well positioned for capitalizing on the current technologies, dynamics in the industry. Technology advantage to other smaller nodes has lead to accelerated growth in the advanced packaging market and has created strong opportunities for increased process control and dealer enhancement solutions in the market. The challenges faces by introducing new advanced packaging technology has resulted in additional process steps that increasingly require inspection and metrology generating new opportunities for Camtek. We have leading capabilities in 3DIC, CMOS image sensors, broad marked into this surface defect inspection and see significant potential in these evolving markets. During 2013 a large portion of our R&D efforts where we saw developing next generation solutions for the advanced packaging segment and we see this segment has a strong growth engine in the next few years. The PCB market is where we are very well established as a leading automatic optical inspection supplier with thousands of system in the field. We will continue maintaining our strong market position by providing ongoing solutions as well as supporting new technologies, including high density lines, 3D applications mainly in IC substrate. As we move into 2014, our market position in the PCB sector remains strong and our Phoenix platform is perceived as a leading inspection tool in the industry. In terms of our future, we see significant potential for growth in this technology once we bring our new 3D inkjet system for solder mask application to full commercialization, leveraging our existing marketing channel worldwide. While selling inkjet system most existing in the opportunity for future consumables ink revenue it is important to stress that this ink is proprietary and not an off-the-shelf material. It has been developed in in-house over the number of years and is very specific to our systems application. As we mentioned last quarter, our 3D inkjet system moved beyond the technology’s disability space and we were looking forward to bringing this into customer-site testing. I am pleased to announce that basically the test process at the customer-site and our machine will now begin to be used in a production environment. We expect this phase to continue for a few months and assuming all goes well, the commercial installation will begin during the second half of this year. All in all, I am very excited with regard to our future as we move into 2014 and beyond. I see tremendous potential for Camtek. I would now like to hand over to Moshe for a more detailed discussion of the quarter. Moshe?
Moshe Eisenberg: Thank you, Rafi. We are pleased with the results of the fourth quarter, showing solid revenue growth together with strong cash flow. Revenues came at $23.3 million, in line with our guidance and were up 32% over those of last year and 7% over those of the previous quarter. The growth came primarily from our semiconductor business while the PCB business remained stable compared with Q3 2013 and grew over 15% compared to Q4 of last year. Revenue from sales and services to the semiconductor industry were $15.5 million, representing 66% of our total revenues. Overall, analyst expectations are for prolonged semiconductor capital equivalent spending and as we move into 2014 we do feel that this is shaping up to be the case. The PCB business completed the year with growth of 8%. Fourth quarter revenue from sales and services to this market were $7.9 million, representing 34% of our total revenues in the quarter. The business continues to be driven mainly by Chinese and Taiwanese accounts expanding their business. In addition, we are also generating revenues from system upgrades, allowing the existing customers to enjoy some of the benefits that the new Phoenix technology brings. Looking ahead with regards to the first quarter of 2014, the Chinese New Year, we just finished, is always a significant break in the quarter and materially impacts our PCB revenues. I will discuss our guidance in a few minutes. As Rafi mentioned, our customer-site testing of the 3D digital printer started in the full successful results of this testing, we believe commercial phase will begin during the second half of the year. However, I do stress that the contribution to revenues will only begin to be meaningful next year. Introducing a new technology into the market can be a long process and the market verification and penetration process may take time. The geographic split of the revenues for the quarter was as follows. China was the strongest region during the quarter, representing approximately 36% of overall revenues, Korea was 16%, Taiwan was 12% and the rest of Asia was 5%. U.S. sales accounted for 17%, Europe sales accounted for 10% with the rest of the world was the remaining 4%. I will now summarize the rest of the financial results. I should point out that during the fourth quarter the company recorded certain one-time charges and income relating to the reorganization, mainly with respect to the decision to focus on two key markets and to fill our R&D efforts of the Sela Xact product line. The total net negative impact of this decision on our GAAP result is approximately $1.5 million. This amount consists of the following items: write off of inventory and fixed-assets primarily related to the discontinued Sela product line in the amount of $4.5 million, income from implementation of the reorganization and impairment charges in the amount of $3.5 million net and employee related charges with respect to the reorganization process of $1.5 million. In addition, the non-GAAP results exclude share based compensation expenses and the one-time income of $1.3 million from the realization of deferred tax assets. Unless otherwise stated, I will summarize the rest of the results on a non-GAAP basis. The reconciliation between the GAAP and non-GAAP results appear in the tables at the end of this press release issued earlier today. Gross profit for the quarter was $10.7 million, representing a gross margin of 45.6%. This is a compared with a gross margin of 46.1% in the fourth quarter of last year and 45% in the third quarter. The change in gross margin compared with prior periods was mostly due to the change in the revenue level and product mix between quarters. Operating expenses in the quarter were $9.6 million. This is compared with $8.1 million in the fourth quarter of last year and $9 million in the previous quarter. This increase is mainly due to a higher level of SG&A expenses that we recorded in the quarter. In addition, the ongoing strength of the Israeli Shekel versus the U.S. dollar continue to have a negative impact of our operating expenses across the board. Operating profit for the quarter was $1.1 million or 4.7% of revenues. This is compared with an operating loss of $650,000 in the fourth quarter of last year and $819,000 in the previous quarter. Net income for the fourth quarter of 2013 was $778,000 or $0.03 per share. This is compared to a net loss of $857,000 or $0.03 per share in the fourth quarter of last year and net income of $5,000 or $0.02 per share in the previous quarter. Net cash and cash equivalents and short-term deposits as of December 31, 2013 were $22.5 million, compared with $19.7 million as of December 31, 2012. We generated a strong operating cash flow of $2.6 million in the quarter and $4.7 million during the year. In terms of guidance for the first quarter of 2014, we expect revenues of between $21 million and $23 million. Please note that as the first quarter coincides with the Chinese New Year holidays it has a negative impact on our revenues from that region, which is normally our largest. I do note that at the midpoint of the guidance range, our Q1 2014 revenues are expected to show over a 20% year-over-year growth. In summary, we are well positioned in our two main markets; semiconductor inspection and metrology and PCB inspection. We also have a lot to look forward in the coming years as our 3D inkjet system is released commercially and we begin to build our installed base and realized revenues. We will now open the call for questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen, at this time we’ll begin the question-and-answer session. (Operator Instructions) The first question is from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa – Chardan Capital Markets, LLC: Well, thanks for taking my question. Rafi, are you sensing that there is a secular recovery in the semiconductor equipment market, and if so, when do you expect to see meaningful growth to begin for Camtek?
Rafi Amit: Regarding the semiconductor market, as I mentioned, there are some special segment that we can see new technologies and usually when new technology comes there are more need for inspection system. So we can get leads and we are in direct contact with customers. So we feel very positive indication about this market.
Jay Srivatsa – Chardan Capital Markets, LLC: All right. In terms of the Q1 guidance, can you give us some sense on what the product split is going to be, meaning are you sensing semis will be down or PCB is higher? Any guidance on that will be appreciated.
Rafi Amit: Generally speaking, as most of the business in PCB area is based on the Chinese and Taiwanese market, we’re probably going to see some decrease in this market and while semi will continue to be pretty much stable over the – between Q4 and Q1.
Jay Srivatsa – Chardan Capital Markets, LLC: All right. And then moving to the 3D printing side, what are some of the challenges you see as you roll out the product and what could accelerate or delay adoption of that product?
Rafi Amit: Okay. I think we are talking of volatile process. This is not a standalone system or just in ink. We are going to penetrate a new process to the market, it’s replacing the current conventional process. So when you come with a new process, it usually takes more time to educate the market to adopt new technology. So this is a method of how far, how quickly the market will respond to such changes. We are very optimistic because we send a lot of samples to customer. We get very positive answers. But we have to remember that eventually also the end user must approve the process the ink. So this is in general penetration process and this slide, we believe it may take few months until we can see, I would say, a more positive results.
Jay Srivatsa – Chardan Capital Markets, LLC: All right. And Moshe in terms of operating costs, and so I know you’ve been tightening the cost controls over there. What did this do in terms of your profitable, I think what level of revenue run rate do you need to have to achieve that profitable?
Moshe Eisenberg: So generally speaking I would say, what we did over the course of the last few months is we really shifted resources from areas that we didn’t feel we have a good competitive advantage such as Sela to the semiconductor. So overall we did not, overall breakeven points of revenue on an operating level will be between $18 million to $20 million. So no major change from our last call.
Jay Srivatsa – Chardan Capital Markets, LLC: Okay. Thank you.
Rafi Amit: Thank you, Jay.
Operator: The next question is from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, thanks for taking my question. Just wanted to make sure, in terms of CapEx due to the new 3D launch, the revenue capital expenditure that you need to implement during the year and how many machines does your current facilities can support?
Rafi Amit: Our current infrastructure can support the projected number of machine, so we don’t expect in the near future any material capital investments. So I mean, did I answer your question or you have any other…
Unidentified Analyst: I don’t really know what is the projected number of machines that you’re expecting so…
Rafi Amit: Look it doesn’t depend on the market demand. I would say that we are organized to answer to the demands, and we can be, I would say more precisely our forecast during the middle of the better side, we get more information and maybe we can be more accurate in our focus.
Unidentified Analyst: Right, okay. And in terms of ink do you have any facility to manufacture the ink for the machine.
Rafi Amit: Correct, I would say that for the next quarter, at least for the first two years, I think we have enough capability to make it here in-house. And if we want to have an additional factory, it’s a matter of six months. So, we have enough time to take a decision when we have to do it.
Unidentified Analyst: Okay. In terms of the first customer that you introduced the system to, is it a prototype you should factoring or is it manufacturing that you will be factoring?
Rafi Amit: Okay, in general, I would say that our main target for penetration of processes what we call low volume mix technology. I couldn’t call them prototype because they do what we call, quantity less than 100 part number, but usually the user advanced technology and sometime a complex PC board. So I wouldn’t say prototypes, we call it like low volume technology.
Unidentified Analyst: Okay, so do you consider this technology to be applicable to mass manufacturing as well?
Roy Porat: Definitely, but the first generation of our system is targeting the low to mid volume mix technology, when we see that the penetration process running well, we immediately move to build higher throughput machine.
Unidentified Analyst: Okay. In terms of margins, do you ever sense or maybe what are the gross margins that you are aiming for this machine for the ink to grow?
Roy Porat: Okay, we usually we do not discuss right now, but definitely the ink will be more profitable than the system in general, but we do not mention numbers.
Unidentified Analyst: Okay, thank you.
Operator: The next question is from Krishna Sankar of ROTH Capital. Please go ahead.
Krishna Shankar – ROTH Capital Partners LLC: Yes, congratulations Rafi on your new role and Roy best wishes to you as you explore your next opportunity. I had a couple of questions. Can you indicate to us the size of the market that you’re pursuing in advanced packaging and inspection in the semi equipment area? What is the size of the market and at what growth rate do you think that market will grow in 2014? And secondly, if you could also size the market of the specialized 3D printing opportunity for you, that would be helpful?
Rafi Amit: If we talk about the advanced packaging to semiconductor, we made some our internal calculation and we estimate that on what we call metrology meaning 3D and 2D metrology for the advanced packaging is right now above $85 million market size. And we predict about 15% to 20% raise for the year, for this segment.
Roy Porat: Okay, this is about advanced packaging, about the inkjet, the 3D inkjet as we mentioned before. Again we made a calculation bottom half from total areas sold bar up to the –how many ton kilogram per year the industry needs and in general the market for ink itself is about $750 million per year, without mentioning the market for systems. So this is obviously roughly the size of the two markets.
Moshe Baruch: And maybe just one point because I wanted to clarify or at least on the semiconductors market if that $85 million number that Rafi mentioned only applies to the advanced packaging. In addition there is additional $100 million of other total available market relevant to Camtek. So all in all, we are going after around $180 million market size a year.
Krishna Shankar – ROTH Capital Partners LLC: Okay, and as a good portion of packaging and advance – inspection revenue for packaging does that comes from chip scale packaging, wafer scale packaging and TSV type of applications?
Moshe Eisenberg: Correct. All of them.
Krishna Shankar – ROTH Capital Partners LLC: All of it, okay, great. Thank you.
Rafi Amit: Well, thanks.
Operator: The next question is a follow-up from [indiscernible]. Please go ahead.
Unidentified Analyst: Hi, guys it’s me again. Just wanted to make sure regarding the ink the addressable market that you guided for ink and this calculation is based on – only prototype, also net production of the Solder Mask market?
Rafi Amit: In total Solder Mask sold during the year.
Unidentified Analyst: Okay, that’s very helpful.
Rafi Amit: As I mentioned the fact that we fairly started the penetration process to the low to mid volume, mixed technology definitely we believe with our competitive advantage we can continue penetration to the high volume market, but as I mentioned the next that we do it.
Unidentified Analyst: Okay, that’s very helpful. Thank you.
Operator: (Operator Instructions) There are no further questions at this time. Before I ask Mr. Rafi Amit to go ahead with his closing statement, I’d like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.il beginning tomorrow. Mr. Rafi Amit, would you like to make your concluding statement?
Rafi Amit: Yes, I would like to. Thank you for your continuous interest in our business, I look forward to talking with you again next quarter. Thank you and good bye.
Operator: Thank you. This concludes the Camtek fourth quarter and full year 2013 results conference call. Thank you for your participation, you may go ahead and disconnect.